Operator: Greetings and welcome to the Diana Shipping Fourth Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ed Nebb, Investor Relations for Diana Shipping. Please go ahead, sir.
Edward Nebb: Thank you, Kevin. Thanks to all of you for joining us today for. The members of the Diana Shipping management team who are with us include Mr. Simeon Palios, Chairman and Chief Executive Officer; Mr. Anastasios Margaronis, President; Mr. Andreas Michalopoulos, Chief Financial Officer; Mr. Ioannis Zafirakis, Chief Operating Officer and Secretary; and Ms. Maria Dede, Chief Accounting Officer. Before management’s remarks, let me remind you of the Safe Harbor notice. Certain statements made during this conference call which are not historical facts are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act. Forward-looking statements are based on assumptions, expectations, or beliefs that may or may not prove accurate. For a description of the risks, uncertainties and other factors that may cause future results to differ from the forward-looking statements, please refer to the company’s filings with the SEC. And with that, let me turn the call over to Mr. Simeon Palios, Chairman and CEO of Diana Shipping.
Simeon Palios: Thank you, Ed. Good morning and thank you for joining us today to discuss the results of Diana Shipping, Inc. for the fourth quarter and full-year 2016. In a dry bulk marketplace that remains challenging, we continue to manage the company to maintain our financial strength and operational flexibility, while positioning our business for the long-term. To review our financial results, the company recorded a net loss of US23.3 million and the net loss attributed to common stockholders of US$24.7 million for the fourth quarter of 2016. This compares to a net loss of US$22.5 million and a net loss attributed to common stockholders of US23.9 million for the fourth quarter of 2015. For the full-year 2016, the net loss – net loss attributed to common stockholders amounted to US164.2 million and US$170 million, respectively. Of that US$56.5 million related to loss and impairment of our investment in Diana Containerships Inc. This compares to a net loss and net loss attributed to common stockholders of US$64.7 million and US$70.5 million, respectively, for 2015. Time charter revenues were US$28 million for full quarter of 2016 compared to US$38.3 million for the same quarter of 2015. Time charter revenues were US$114.3 million for 2016 compared to US$157.7 million for 2015. Turning to the balance sheet, cash and cash equivalents totaled US121.1 million at December 31, 2016, including compensating cash balance. Long-term debt, net of deferred financing costs, including the current portion was US$598.2 million compared to stockholders’ equity of nearly US$1.1 billion. Several developments during 2016 fourth quarter reflected our firm control over operations and our sharp focus on the long-term prospects of the business. In November, we canceled a shipbuilding contract with respect to a Kamsarmax dry bulk carrier with an original delivery date of May 31, 2016, due to a delay in delivery. In this regard, we subsequently received a refund of all pre-delivery installments payments plus interest of approximately US$9.4 million. In December, we negotiated a reduction in the contract price and extended the delivery date of two Newcastlemax dry bulk carriers in San Francisco and the Newport News. The sellers reduced the price by US$1 million for each of the vessels, which were then delivered on January 4, 2017. With the delivery of the two most recent vessels acquisitions, our fleet consists of 48 dry bulk vessels. We continue to manage the fleet in a prudent manner. Currently, our fixed revenue days are 47% of our total operating days expected for 2017. In conclusion, Diana Shipping will continue to respond to the challenges of our market by continuing to maintain our financial strength and managing our business in a prudent manner. With that, I will now turn the call over to our President, Anastasios Margaronis, for a perspective on the industry conditions. He will then be followed by our Chief Financial Officer, Andreas Michalopoulos, who will provide a more detailed financial overview. Thank you.
Anastasios Margaronis: Thank you, Simeon, and welcome as usual to all the participants of this quarterly conference call of Diana Shipping Inc. The references we usually make to the Baltic Indices are particularly interesting at this time. Back in October 2016 the first day of the fourth quarter of that year, the month had started with a Baltic Dry Index at 864 and yesterday closed at 688. The Baltic Cape Index moved from 1,971 to 609 at the close of trading yesterday. The Baltic Panamax index started last quarter at 713 and closed yesterday at 944. In 2016, the Capesize market achieved the time charter average according to Banchero Costa of only $7,388 per day. In 2015, the average was $8,093, and in 2014, the average was $14,287 per day. Unfortunately, we have foreseen this deterioration back in 2013 much to the dismay of many analysts and other members of our peer group who refused that the time to see the size of the oversupply problem, which as it happened coincided with a drop in demand over that period. According to Clarksons, in 2016, a 7% increase in total Chinese seaborne dry bulk imports has been offset to a large extent by a relatively broad decline in dry bulk shipments to other key regions. By current estimate, seaborne dry bulk trade growth is expected to be 1.3% in 2016. The estimate for 2017 stands at $5 billion tons, an increase of about 2% compared to 2016. Let’s turn to macroeconomic developments. The New Year has according to Braemar ACM started with fresh signs of the euro zones economic recovery is continuing. Manufacturing in December 2016 expanded at the fastest pace in more than 5.5 years. Preliminary figures coming from the German government estimate that the country’s economy grew by 1.9% in 2016 in real terms. Current IMS projections for German economic growth of 1.4% year-on-year in 2017. According to a report by Maersk Broker, final GDP numbers in the U.S. for third quarter 2016 showed the economy growing at 3.5% compared to the second quarter. This left the year-on-year rate of growth for the third quarter at 1.7%. At the same time, the SOMC raised its GDP growth forecast for 2017 to 2.1%. According to the IMS, economic expansion in the United States will come in at 2.3% this year and 2.5% in 2018. These forecasts are higher than earlier ones issued by the same institution due to the plans announced by newly elected President Trump. JPMorgan’s most recent report on PMI show their world manufacturing index rise to 52.7 points, which is the highest reading since February 2014, growth was seen across most sectors, including consumer goods. China has been aiming for growth in 2016 of between 6.5% and 7%. The Chinese government is confident that economic growth of 6.7% was indeed accomplished in 2016. Strong growth in Chinese industrial production has continued according to Commodore Research. A stock contract from many other nations, including the United States each of the last 16 months have seen U.S. industrial production contracts on a year-on-year basis. This is a trend that President Trump will probably try to reverse. New building deliveries now. According to Howe Robinson last year saw 579 dry bulk vessels delivered to their owners with a total capacity of $47.3 million deadweight tons. According to Clarksons, in 2016, 99 Capes were delivered, while 75 were scrapped. During the same year, 109 Panamax’s were delivered and the same number of ships approximately were sold for the Malaysian. Overall, delivery ratio to nominal order book was at a record low 54% in 2016. The question now is what percentage of this year’s order book of 53 million deadweight tons will actually be delivered? Anticipated market conditions and sentiment will play a pivotal role in determining the outcome. Clarksons reported in 2016, the bulk carrier fleet increased by 2.3%. The net change during the year was 17,278,000 tons. Accordingly for 2017, much will depend on scrapping and slippage mentioned above that the scope of the fleet will not increase on a net basis more than it did in 2016. That was the slowest rate of fleet growth in 16 years. The Clarksons estimates for fleet growth in 2017 is mere 1%. According to Banchero Costa, new orders for – of dry bulk vessels in 2016 amounted to just 36 units, a sharp decline from the 380 new orders placed in 2015 and a massive 933 new order placed in 2013. Only three orders for Kamsarmax were replaced in 2016, compared to a total of 93 units ordered in 2015. Let’s have a look at the Malaysian now. In 2016, about 377 vessels were sold for the Malaysian with a total capacity of 29.2 million deadweight tons. Of these vessels, 83 were Capes, totaling 14.9 million deadweight tons. And according to Banchero Costa, this weight of the Malaysian is expected to be somewhat reduced to the period 2017 to 2019 due to improving sentiments and fewer older vessels. According to the same source, in 2016, there were 115 Panamaxes demolished, that was in the Capesize sector as well. Just for the record, only 12% of the current Capesize fleet are over 15 years old. However, as we have seen in the past with tankers and apparently witnessing in the containership sector, age is not the most significant criteria in the decision to demolish a vessel. New building order book now. According to Clarksons, the Capesize order book represents 12.9% of the existing fleet in terms of capacity, while the Panamax fleet on order is only 7.9% of existing Panamax capacity. The overall order book of 954 ships represents 10.8% of the existing fleet by deadweight capacity. Let’s turn to steel now. Steel production determines worldwide demand for iron ore and coking coal shipments. According to Clarksons, world steel production declined to 1.3346 [ph] billion tons in 2016. This represents a drop of 0.7% compared to 2015, continuing global production decline since 2014, when production reached the peak of 1.6477 [ph] billion tons. According to Banchero Costa, Chinese steel output during the first 11 months of 2016 was 739.5 million tons, up 0.4% year-on-year. Iron ore now. According to Clarksons, global seaborne iron ore trade is expected to increase 4% in 2017 to reach 1.478 billion metric tons, reflecting a rise in iron ore shipments from Australia and Brazil to China. This will combine with stabilization in shipments into Europe and other Asian countries, which were weak in 2016. Clarksons believe that there is downside risk to continue Chinese iron ore import growth, given uncertainty regarding the country’s construction activity, as well as the likelihood of the stocking. However, the Chinese government’s commitment to cutting domestic iron ore production coupled with the growing availability of competitively priced imported iron ore is expected to lead to a 5% rise in Chinese iron ore imports in 2017. Commodore Research agrees that Chinese iron ore imports could drive again in 2017 by relatively large amounts. Last year, iron ore Chinese imports reached 1.02 billion tons, which marked the year-on-year increase of 70 million tons, or about 7%. According to Braemar ACM, iron ore stockpiles of 41 major Chinese imports stood at 114 million metric tons at the end of 2016, up from 91.5 million tons a year earlier. The most recent low was reached in May 2015 when iron ore stock piles have dropped to around 80 million tons. Coking coal now. According to Clarkson’s global seaborne coking coal trade is projected to grow 1% to around 248 million tons in 2017. This will be supported by increased Asian demand and stabilization of imported coking coal to the European Union, where the majority of expected steel capacity cuts in that region have already been carried out. On the other hand, Indian coking coal demand in 2017 is expected to reach 45 million tons, an increase of 2% compared to last year, when imports dropped by 7% compared to the year before. Thermal coal now. According to Clarkson’s global seaborne steam coal trade will increase marginally in 2017 compared to last year and reach 884 million tons. This reflects expectations of an easing pace of decline in European Union seaborne steam coal imports and conservative growth levels in Asian steam coal imports. Chinese steam coal imports during this year are expected to drop marginally from a 159 million tons to a 157 million tons. This will probably be caused due to an increase in domestic coal output. Now according to Maersk Broker, towards the end of last year domestic Chinese coal production moved higher. This was the result of the Government’s reversal on mining turfs. The increased domestic supply reduced the need for seaborne imports and has helped to reverse the upward trend in coal prices. According to Braemar ACM coal was the big swing commodity of 2016 and will probably remain a key determinant of freight demand for 2017 as well. Commodore Research sees the outlook for coal shipments as less clear than that of iron ore referred to earlier on. However, they remain bullish at least for the near term. As for grains, according to Clarkson’s global wheat and coarse-grain trade is projected to drop 2% to 338 million tons in the 2016-2017 crop year. The decline is expected to be largely driven by lower imports into Asia and the Middle East. Firm domestic output and the destocking activity are expected to continue and contribute to a 34% drop in Chinese grain imports in 2016 to 2017. As regards to wheat harvest in the United States, it is currently expected to increase 12% during the 2016, 2017 crop year compared to the previous one. This should lead to an increase in wheat shipments to around 26 million tons. If materializes, this would in turn make the United States the third largest wheat producer after Russia and the European Union. Finally the outlook for the bulk trades. We agree with Banchero Costa that in spite of the increased rates of demolition seen over the last two years, significant over capacity still remains, which is keeping time charter rates low. However, if limited contracting continues and demolition rates do not significantly decline, the predicted stable iron ore trade going forward could bring a sustained recovery of earnings in the not too distant future. Now according to Clarkson’s, firm Chinese iron ore import demand is expected to continue into 2017, supporting projected dry bulk trade growth of around 2.1%. If net suppliers tonnage develops as expected then as mentioned earlier on this short report, things might be more encouraging than most of us expect. Obviously and extremely important factor will be the restrain shown by owners to resist newbuilding contracts at prices which desperate shipyards around the world will make sure are extremely tempting. Therefore, with these first encouraging signs of improvement in the dry bulk carriage industry, we at Diana Shipping look forward to managing the fleet in the most effective way to take advantage of the possibility of better rates going forward. The staggered manner of our time charter expirations will enable us to take advantage of improved rates when they come. Ships whose employments have been coming to an end are being renewed at higher time charter rates than the expiring contract. If this trend continues, it should improve the Company’s cash flow for this year and hopefully next. Once we have been through a few months of current level rates, we can then express more confidence as to the future of the bulk carrier markets, having established the real surplus and point of demand supply balance. I will now pass the call on to our CFO, Andreas Michalopoulos who will provide us with the 2016 fourth quarter and whole year financial highlights. Thank you.
Andreas Michalopoulos: Thank you, Stacy, and good morning. I’m pleased to be discussing today with you Diana’s operational results for the fourth quarter and year ended December 31, 2016. For the fourth quarter 2016, first, the net loss and net loss attributed to common stock holders amounted to $23.3 million and $24.7 million respectively. Loss per common share was $0.51. Time charter revenues decreased to $28 million compared to $38.3 million in the fourth quarter of 2015. The decrease was due to the decreased average time charter rate that we achieved for our vessels during the quarter and was partly offset by revenue derived from the addition to our fleet, the vessel New Orleans and Seattle delivered November 2015, Selina and Ismene delivered in March 2016 and Maia delivered in June 2016. Ownership days were 4,232 in the fourth quarter of 2016 compared to 3,870 in the same quarter of 2015. Fleet utilization was 99.9% compared to 99.8% for the same quarter 2015 and the daily time charter equivalent rate was $6,319 compared to $9,169 for the same quarter 2015. Voyage expenses were $1.4 million for the quarter compared to $3.4 for the same quarter of 2015. The decrease in voyage expenses was mainly due to decreased commissions on revenue and bunkers amounting to gain of $0.1 million in Q4 2016 compared to a loss of $1.4 million in the same quarter last year. Vessel operating expenses amounted to $20.9 million compared to $23.6 million for the fourth quarter 2015 and decreased by 11% despite the 9% increase in ownership days, resulting from the enlargement of the fleet. The decrease was a result of the Company’s effort to minimize costs without compromising the vessel’s operations and safety and achieved reductions in all of operating expense categories, except for taxes and other operating expenses. Daily operating expenses were $4,930 for the fourth quarter 2016 compared to $6,093 for the same quarter of 2015, representing a decrease of 19%. Depreciation and amortization of deferred charges amounted to $20.6 million. General and administrative expenses were $6.8 million compared to $7.5 million for the same quarter last year. The decrease was mainly due to a reduction in payroll cost due to the reduction in the number of employees employed by our manager in the fourth quarter of 2016 and the decrease in legal and other professional fees. Management fees to related party were $0.4 million for the quarter and were the fees paid to Diana Williamson Management Ltd. for the vessels under their management. Interest and finance costs amounted to $5.6 million compared to $4.9 million in the same quarter 2015. This increase was attributable to increased average debt and average interest rates in the quarter compared to the same quarter of 2015. Interest and other income amounted to $0.8 million compared to $0.5 million in the fourth quarter of last year and increased mainly due to a gain from the termination of the shipbuilding contract of Hull DY6006 and an increase in the interest income under our loan agreement with Diana Container Ships due to the increase in interest rates. Loss from equity investment from equity method investments amounted to $2.1 million compared to $2.3 million for the same quarter of 2015. The loss was mainly due to loss in our investment in Diana Container Ships Inc. For the year ended December 31, 2016 now, net loss amounted to $164.2 million and net loss attributed to common stockholders amounted to $170 million, which $56.5 million were due to loss from Diana Container Ships Inc. Loss per share was $2.11. Time charter revenues decreased to $114.3 million compared $157.7 million for 2015. The decrease was attributable to decreased average time charter rates that we have achieved for our vessels during the year. Ownership days for the year ended December 31, 2016 were 16,542 compared to 14,900 for the year ended December 31, 2015. Fleet utilization was 99.4% compared to 99.3% for 2015, and the daily time charter equivalent rate was $6,106 compared to $9,739 for 2015. Voyage expenses were $13.8 million for 2016 and includes $7.5 million of loss from bunkers from the redelivery of our vessels. Vessel operating expenses amounted to $86 million compared to $88.3 million for 2015. The decrease in operating expenses was due to the company’s effort to reduce expenses and achieved reductions in almost all operating expense categories except for taxes and other operating expenses. The decrease was partly offset by increased expenses due to a 11% increase in ownership days resulting from the enlargement of the fleet. Daily operating expenses for the year ended December 31, 2016 was $5,196 compared to $5,924 for 2015, representing a 12% decrease. Depreciation and amortization of deferred charges amounted to $81.6 million for 2016. General and administrative expenses amounted to $25.5 million compared to $25.3 million in 2015. Management fees to related party were $1.5 million and were the fees paid to Diana Williamson Management, our joint venture for the technical management of our vessels under their management. Interest and finance costs amounted to $21.9 million compared to $15.6 million in 2015. This increase was attributable to increased average debt and average interest rates compared to last year. Interest expenses in 2016 amounted to $19.5 million compared to $13.9 million for last year. Interest and other income amounted to $2.4 million compared to $3.2 million for 2015. And the decrease was mainly due to the decrease in interest income from Diana Containerships Inc. under our loan agreement with them, which amounted to $1.7 million in 2016 compared to $2.7 million in 2015. Loss from equity method investments amounted to $56.4 million compared to a loss of $5.1 million in 2015, and was due to a loss from an impairment of our investment in Diana Containerships, which was partly offset by a gain from our investment in Diana Williamson Management Limited. Thank you for your attention. We would be now pleased to respond to your questions. And I’ll turn the call to the operator who will instruct you as to the procedure for asking questions.
Operator: Thank you. We’re now conducting a question-and-answer session [Operator Instructions] One moment please while we poll for questions. Our first question today is coming from Amit Mehrotra from Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Great. Thank you, operator. Hello, everyone. Thank you for taking the question. My first question is obviously on any update with the lenders, I know it was called off last quarter. Just wondering if there’s been any dialogue at all there, and or is it just basically still status quo or maybe radio silence? Thank you.
Andreas Michalopoulos: Hi, Amit, there’s always dialogue with your lenders and we are currently there nonetheless not in any kind of restructuring or any such mood. As we said many times, we let the dust settle. We pay our obligations and that’s where we stand today.
Ioannis Zafirakis: Amit this is Ioannis Zafirakis
Amit Mehrotra: Hey…
Ioannis Zafirakis: Amit, sorry. Again, if you run the numbers and when you run the numbers, you can easily see that we are going through – easily through the middle of 2018 without any cash flow issues and at that time we stay with a very strong balance sheet as well. We are currently – if you run the numbers, you will see that we are still to value, still to debt, we are at the 125%. So…
Amit Mehrotra: You said – sorry, did you say you still view the 125%?
Ioannis Zafirakis: Yes, the value of our vessels is around 125%...
Amit Mehrotra: Oh, right.
Ioannis Zafirakis: …of the value of our debt, without counting the cash and the modern vessels.
Amit Mehrotra: Right, the value of the loan makes it, right, yeah, that makes sense. And then the, just Andreas associated with that, can you just give us an update on the cash calls? I know there was, I guess, $47 million of debt amortization this year. Can you just tell us sort of, has that number changed at all? Or is that still $47 million as of the cut of the end of December? And then also, I guess the remaining equity payments, the non-debt related drawdown associated with any of the newbuilding CapEx? Thank you.
Andreas Michalopoulos: Well, the number has not changed. Actually our numbers are exactly the way we have foreseen them, so no they have not changed. Remaining CapEx, we don’t have – we have the delivery of the vessels that was done. We have the loan of the $57 million from China Export-Import Bank that was drawn down and the only thing that is reaming is the dry-docks that are foreseen and I can go through them, but there are not so many, if you want I can go through the dry docks for 2017, but…
Amit Mehrotra: I mean, you could just – I mean, is it like, sort of like, is it like $3 million to $5 million in total, is that how we should think about it?
Andreas Michalopoulos: Yes, yes, exactly for the year 2017.
Amit Mehrotra: Okay, right. Let me just ask one more sort of, I guess, corporate finance question. In terms of, Ioannis, you know the stock, obviously I don’t have to tell you, is up 30% in the last 44, 45 days, which would make any potential equity offering you know I would, by my math like 25% plus dilutive. So I’m just trying to understand like, with that being said, obviously the stock is still at a relatively low level, but given the improvement in the equity value of the Company, is an equity offering – I know you don’t have to do it, but you know it’s – it might be nice to add, given sort of the lack of maybe equity cushion you do have if something does go wrong, but is an equity deal still out of the question for you guys and maybe has it gotten a little bit more tenable given the less dilution, given the rise in the stock price?
Ioannis Zafirakis: You know that it is our strategy place debt at the bottom of the market and equity at the higher part of the market. And therefore strategically speaking, we are not here to do an equity offering if we don’t have to. And you have to understand that the benefit of the premium to net asset value in any offering and how less dilutive it is, it can be clearly seen only with purchase of vessels, something that we do not have as a plan.
Amit Mehrotra: Okay, so you don’t plan on acquiring any assets now, you are just potentially going to accrue any cash or…?
Ioannis Zafirakis: Yeah, this is what I said, in order to explain your comment, as regards to less dilutive premium to net asset value etcetera. You only get the benefit of the premium to net asset value when you raise equity and you exchange cash with vessels and you raise equity at a premium to net asset value and when you buy vessels at net asset value. That’s why I made the comment about the purchases.
Amit Mehrotra: Okay, that makes sense. And then, one last one from me, just more on the market. Stacey, you comments are always so helpful every quarter in terms of the market outlook and I kind of understood you view – the brokers view on iron ore, but there just seems to be a lot more uncertainty around coal shipments and you know coal shipments obviously collapsed 30% in 2015, they grew 25% last year and I’m just trying to understand like, it seems like that’s the area where there could be potentially the most risk. And do you guys have a view? I mean, you’ve been pretty good about calling the market in the past. And just trying to understand that, the risk parameters around coal, could we see things like weather or even rainy season in China, things like that could impact the coal volumes to the downside. I’m just trying to understand like, where do you see the vulnerability of the dry bulk market specifically as it relates to coal shipments and what are your views there for the remainder of the year?
Anastasios Margaronis: Yes, with coal, we have two ways of looking at it. First, we look at it long-term, and that’s not very positive, the reasons that we all know about the environment and how clean the energy produced from coal is. But that’s not something that will affect coal shipments either this year or next, that is our feeling or even the year after that. It’s something that we can look at more seriously affecting the markets from 2020 onwards. What is happening now in the short and medium-term has more to do about how the Chinese handle their domestic coal production to one extent, of course. And also, how much energy we need to produce in the form of electricity in the short to medium-term, because if that need goes up for whatever reason, then we do know that coal is going to be the commodity, which will respond more quickly than any other form of electricity generation, which is either some solar power, or wind, or hydropower. Those cannot respond quickly if there’s a relatively quick increase in the demand for power generation. So the factors about weather and the rainy season in China are extra short-term. We feel factors and they will play their role, but we don’t feel it’s going to be a lasting role in the demand for coal shipments. The lasting role is going to be affected by the terms, as I mentioned earlier. Demand for power generation on the one hand and domestic Chinese coal production on the other hand. In the longer-term, substitution of coal in the energy production sector with other forms of producing energy and electricity.
Amit Mehrotra: All right. Okay. All right. That’s all I have. Thank you for taking my questions.
Simeon Palios: You’re welcome.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Fotis Giannakoulis from Morgan Stanley. Please proceed with your question.
Ben Friedman: Hi, guys. This is actually Ben stepping in for Fotis. Just one question on the market and since we already spoken about coal, I guess, specifically iron ore here. Rates have certainly come down in the near-term, especially for Capesize rates. But what is your perspective on changed iron ore inventories, given that they’re up roughly 30% year-on-year is, do you have any idea on potential timing of when restocking begins in China, begins again as a buyer?
Anastasios Margaronis: With stockpiles of iron ore in the past, we have, all of us, not us in Diana proven to be wrong. Every time we felt that iron ore stockpiles are very high. The Chinese would buy more. And when we felt that they didn’t have enough, for some reason they would stop buying. So unfortunately, it’s unpredictable. Their criteria have to do more with how they view the cost of acquiring iron ore and the prospect of utilizing it in their steel industry. So from here onwards what we are looking at is pretty high stockpiles admittedly. But that is not sufficient in itself to make us draw the conclusion that the Chinese are not going to continue buying iron ore, if they feel that it is a opportunity to do so for them. So unfortunately, their criteria are not only price related, but they have to do, as I said, with the rate that they feel they’re going to deplete their stocks. They don’t want to be caught with dropping stockpiles and then increases in the price of iron ore. So they might keep increasing their stockpile if they feel that the practice is advantageous. And steel industry will be consuming we feel, at least, in the medium-term more iron ore than we have expected at least for 2016 and what we were looking at a few years earlier as predictions. So they might surprise us on the upside is all I’m saying on the demand for iron ore by their steel industry.
Ben Friedman: Sure. And just one more follow-up, if this prediction comes in a fruition and there’s a surprise to the upside. Where do you anticipate this – these imports coming from? I think, lately, we’ve seen a pretty substantial slowdown in Brazilian exports. Do you think that Brazil will come back into the margin return to grow at a similar pace that had been growing earlier this year?
Anastasios Margaronis: Unfortunately, we cannot predict, because we don’t know enough about the insights of Brazilian shipments and what affects them. But for sure, if there’s an increase in iron ore demand, it will come partially from Brazil and from Australia. And regrettably, we’re not in a position to apportion such an increase between these two major sources of this commodity
Ben Friedman: Sure. Thanks a lot, guys.
Ioannis Zafirakis: You’re welcome.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Spiro Dounis from UBS Securities. Please proceed with your question.
Spiro Dounis: Hey, good morning, gentlemen, how are you?
Simeon Palios: Very, well, and you?
Spiro Dounis: Good, good. Just wanted to ask a real quick on asset values. Sounds like you’re getting a little more optimistic on rates and I think you said you’re positioned well to benefit from a rising rate environment just given your shorter charter book. So just as you think about asset value, do you think the track rates are up, or is there potential that you actually see asset values left behind just given stronger dollar, struggling shipyards, difficulty in getting financing, how do you think about that?
Anastasios Margaronis: Spiro, what we’re trying to say is the following. We’re currently in the last two months or so at the level of, let’s say, $10,000, $11,000 for a Cape, $8,000 for Panamax, $7,000 per day for Panamax. What we’re saying is, this is neither here or there rate environment, which if we see that stay for a six-month to eight-month period, then we will be convinced that this is our balancing point. From the moment we have established that we’re at the balancing point in the demand and supply curve of ours. Then if we run the numbers then and we try to calculate supply and demand whatever result we’re going to come up with as an incremental change either positive or negative is going to be sufficient to have a better idea on what the market is going to do. We go back to what we kept saying the last two years that people were predicting or they were looking at incremental changes we have – having established a correct starting point. We find this period and then months to come as a very interesting period in establishing our balancing point. If we manage to do so, we will have a better idea about where the assets are going to be going the asset prices and the charter rates.
Spiro Dounis: Okay. That’s fair. Second question is just around, I guess, regulation coming up here between ballast water treatment and the sulfur rules. I think it sounds like this could increase the rate of scrapping out there. I guess, just wondering two things, one, how do you see this impacting your fleet, how do you plan on dealing with it? And two, how do you see an impact in the fleet as a whole and when do you think we’ll start to see that benefit?
Anastasios Margaronis: Again, we go back to what we were saying previously in the previous question. All of these factors that you are asking there certainly factors that they have to go into the equation to see whether we’re going to have a incremental positive change in the supply and demand equation. But we have to wait a bit before we do that type of calculation. But certainly it’s without saying that if you have the need for spending a lot of money on vessels, but shelf supply being kept at lower levels. But again, it’s irrelevant the result we’re going to come up with after doing this calculation if we have not established previously our starting point.
Spiro Dounis: Got it. Okay. Last one from me. You’re still the largest holder of Diana Containerships. Just wondering, longer-term, once we get maybe through better part of the dry bulk cycle, what’s the plan with Diana Containerships? Do you see yourself actually opportunistically adding more there at a certain point, or how you think about that?
Anastasios Margaronis: We will have to cross that bridge when the time comes.
Spiro Dounis: Okay. I didn’t think I’d get much out of that one. I appreciate it. Thanks, guys.
Operator: Thank you. We’ve reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further or closing comments.
Simeon Palios: Thank you again for your interest in and support of Diana Shipping. We look forward to speak with you in the months ahead. Thank you.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.